Operator: Welcome, ladies and gentlemen, to the Bird Construction’s Second Quarter 2021 Financial Results Conference Call and Webcast. We will begin with Teri McKibbon, President and Chief Executive Officer's presentation, which will be followed by a question-and-answer session. [Operator Instructions] The webcast is being recorded. [Operator Instructions] Before commencing with the conference call, the company reminds those present that certain statements which are made express management's expectations or estimates of future performance and thereby constitute forward-looking information. Forward-looking information is necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic and competitive uncertainties and contingencies. Management's formal comments and responses to any questions you might ask may include forward-looking information. Therefore, the company cautions today's participants that such forward-looking information involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company's estimated future results, performance or achievements expressed or implied by the forward-looking information. Forward-looking information does not guarantee future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking information, whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Teri McKibbon, President and CEO of Bird Construction. Please go ahead Mr. McKibbon.
Teri McKibbon: Thank you, operator. And good morning, everyone. Thanks for joining us on today's second quarter of 2021 earnings conference call.  Joining me on today's call is Wayne Gingrich, Chief Financial Officer. I'm pleased to report very strong second quarter 2021 financial results. In fact, we reported our highest ever revenues, as well as strongest quarter adjusted EBITDA and adjusted EPS in the company's history. Furthermore, we exited the quarter with a record combined backlog. Overall, I'm really pleased with the progress we have made to date integrating Stuart Olson. And I'm excited about the future potential of the combined organization. While we continue to contend with the lingering effects of the pandemic, productivity largely returned to pre-pandemic levels and bidding activity was healthy. As evidenced by our record combined backlog, we are seeing a return to normalcy and we fully expect to capitalize on the ensuing pent-up growth in the Canadian economy. Turning to Slide 5, the strength of our Q2 financial results, once again reflect the commitment and dedication of our employees. The combination of our efforts resulted in revenues increasing 97% with the combined Bird and Stuart entity yielding top-line synergies. Adjusted EBITDA increased 144%, while adjusted earnings was up 128% compared to a year ago. During the quarter we secured approximately $639 million in new contracts, which allowed us to end the quarter with a record combined backlog, which sits at approximately $4.4 billion. And as we look back – as we are looking at the back half of the year, we're seeing a healthy pipeline of opportunities emerge, which gives us an added comfort in the near to medium term prospects for Bird.  Moving to Slide 6, we reported an improved trailing 12-month adjusted EBITDA margin in the second quarter of 2021, marking the 11th consecutive quarter of improved adjusted EBITDA margins. Overall, our trailing 12-month adjusted EBITDA margin stood at 6% as at quarter end reflecting 240 basis point improvement compared to the 12-month period ending June 30, 2020. Overall, Stuart Olson has been accretive since the date of the acquisition. That said, as we have discussed on previous conference calls, the inclusion of Stuart Olson will weigh on our near-term margin profile. However, we are confident we are building a business that can support a higher margin profile over the medium to longer term. As you can see on Slide 7, during the second quarter, we were awarded $172 million fixed price construction services contract with Concert Properties for the Sherbourne Project or The Burke in Toronto. The Burke is a residential tower consisting of 53 floors and a gross floor area of 43,300 square meters, combining a healthy blend of residential and retail space that will be constructed to a lead goal standard, leveraging green building practices and environmentally sound solution. Additionally, we were awarded two contracts for civil works on two separate sites, construction of two storm effluent ponds in an existing project site in Northwest and British Columbia, and construction of an overpass in Northern Alberta. The combined value of the contracts awarded is approximately $135 million. Also, during the quarter, we were awarded a three-year contract with a two-year extension option for mechanical and electrical maintenance services for the North West Redwater partnership. The total value of the contract is potentially up to $75 million and spans multiple years. Lastly, subsequent to quarter end, we negotiated a construction services contract with the international real estate from Hines for a mixed-use project in the heart of Toronto. The project is 17-storey mixed-use building located near the corner of King and Bathurst. The new building will be constructed by leveraging green building practices with sustainable solutions and is expected to convert to backlog in the third quarter. Overall, I am pleased with the results and the operational progress we have made. The combined [indiscernible] entity is continuing to yield revenue synergies as evidenced by the benefits from cross-selling the combined capabilities of Stuart Olson and Bird, to deliver a higher value proposition to our clients. With Stuart Olson having been part of Bird for almost a year and as we continue to emerge from the pandemic, our outlook is becoming brighter by the day. We continue to see opportunities surface with the sustained improvement in natural resource prices, which is notably improving the business prospects in Alberta, as well as the significant plant infrastructure spending announced by the federal and individual provincial governments in recent quarters. With that, I would like to turn the call over to Wayne to go over our financial results. 
Wayne Gingrich: Thanks, Teri. And good morning, everyone. Please turn to Slide 8. I'm very pleased with our second quarter 2021 financial results. We reported record revenues in our highest ever second quarter adjusted EBITDA and EPS in our history. For the second quarter, we reported construction revenues of $556 million, representing a 97% increase in comparison to the second quarter of 2020. The year-over-year increase can be largely attributed to the inclusion of Stuart Olson. We experienced modest pandemic-related impacts during the second quarter, which we estimate impacted revenues by $16 million. With that said we observed moderate increases in revenue in certain projects that were temporarily delayed by clients due to the pandemic and have since returned to normal. Gross profit for Q2 2021 was $49 million or 8.8% of revenues. This represents a $28.5 million increase in a 160 basis point margin improvement compared to Q2 of 2020. The year-over-year increase is due to a combination of additional growth profit from the inclusion of Stuart Olson and the diversification of the company's work program, as well as improved margins across our operations. I would like to highlight that there was a recovery of $7.8 million of compensation expense in cost for construction related to the CEWS program this quarter. Going forward, we do not expect that we will continue to qualify for CEWS beyond the second quarter of 2021, but we'll continue to monitor eligibility for certain portions of our business. General and administrative expenses this quarter came in at $30.5 million or 5.5% of revenue. This was $17 million higher than the $13.5 million or 4.8% of revenue reported in Q2 last year. The primary reason for the year over-year-increase is related to the addition of Stuart Olson. As we stated previously, we expect G&A expenses to resume to a more normalized level of economic activity continues towards pre-pandemic levels. Q2 2021 adjusted EBITDA amounted to $30.1 million or 5.4% of revenues. This compares to 12.3 million or 4.4% of revenues in Q2 2020. Adjusted earnings was $15 million or $0.28 per share in the second quarter of 2021, compared to $6.6 million or $0.15 per share in the second quarter of 2020. I would note that we incurred $400,000 more in integration and restructuring expenses compared to the same period last year on a tax effective basis. Turning to our year-to-date results. Revenues amounted to $1 billion for the first half of 2021 compared to $604 million in the first half of 2020. The year-over-year increase can be largely attributed to the inclusion of Stuart Olson. This was partially offset by lower revenues in certain projects as a result of the pandemic. In the first half of 2021, we experienced a reduction in revenues of approximately $116 million, which can be associated with the pandemic. Gross profit year-to-date was $88.9 million representing a 138% increase year-over-year, while G&A expenses increased 112% to $60 million. In the first half of 2021, we recognized the total CEWS recovery of $20 million of which $18.8 million related to cost of construction and $1.4 million related to G&A. Adjusted EBITDA for the first half of this year was $51.2 million representing a 5.1% margin. Adjusted EBITDA for the first half of 2020 was $19.9 million or 3.3% of revenues Adjusted earnings year-to-date was $24.1 million or $0.45 per share. This compares to $7.7 million or $0.18 per share in the first half of 2020. Similar to drove our Q2 results, the year-over-year improvement in our first half of 2021 results were driven by the combination of additional margin from the acquisition of Stuart Olson, which includes synergies as well as progress with diversifying our work program and improving profitability margins in our operations. We have a strong work program in place across the county. Moving to Slide 9. I'd like to quickly touch on the progress we've made to date with the integration of Stuart Olson. Overall, we're on track with our previously stated objectives. To-date, we set in motion $10 million in annualized EBITDA synergies that we expect will be realized as we move through the back half of this year. This is on top of the previously realized $15 million in cost synergies related to annualized interest in depreciation and amortization expenses that were realized upon closing. Furthermore, as we have started to see over the past couple of quarters, cross-selling synergies are real as our broader services offering has materialized in meaningful contract wins to date. Given the strength of our service offering across the combined platform, we expect to see additional top line opportunities to emerge going forward. The cross-selling right opportunities are evident when looking at our backlog on Slide 10 and pending backlog, which on a combined basis sits of an all time high. As at the end of Q2, our backlog stood at $2.7 billion, while our pending backlog amounted to $1.6 billion. I'd like to highlight the pending backlog includes approximately $1 billion of MSA contracts. These contracts are typically with industrial clients that span multiple years for MRO services. We expect to convert these MSAs to backlog on a quarterly basis as purchase orders are received. Overall, these MSA contracts represent a recurring revenue stream over the next one to six years, providing us excellent revenue and profit visibility. As always, we are diligently focused on appropriately balancing the risk profile ever backlog through end market diversification and contracting methods. The composition of our backlog and pending backlog affords us the ability to not only diversify and mitigate risk, but also improve our overall margin profile over time as we undertake an increased level of self perform work. Moving to Slide 11. We continue to retain a strong balance sheet which provides significant financial flexibility. I'd like to point out that given our work program in the second quarter, in our plan work program as we move into the back half of the year, non-cash working capital was net negative $49 million. As a result, our accessible cash did a $2.8 million as of June 30. With that said, we have $124.8 million of capacity under our $165 million committed syndicated credit facility, as well as a non-committed accordion of up to an additional $50 million. This capacity not only allows us to be nimble and fund organic growth, but also allows us to opportunistically capitalize on M&A opportunities as they arise. Overall, as at quarter end, adjusted net debt stood at $60.7 million or 24.6% from a long-term debt to equity ratio perspective, which is well within our comfort level. Turning to Slide 12, we continue to balance our capital allocation priorities between organic opportunities, dividends, M&A and debt repayments. During the quarter, we generated cash flow from operations before non-cash working capital of approximately $28 million. As I mentioned previously, given the meaningful organic opportunities that have arisen since completing the Stuart Olson acquisition, we have seen significant shifts in our work program project mix and in the stage of completion of certain projects.  This includes a significant increase in self-performed projects, which I would remind everyone have higher embedded margins. As a result non-cash working capital grew approximately $49 million in the second quarter. Our capital investment has remained modest in 2021 as we deployed $2.2 million towards CapEx in the quarter and $3.2 million year-to-date. As always, we remain committed to return excess capital to shareholders via our monthly dividend payment. In the second quarter, we returned $5.2 million in dividend payments. Overall, I'm very pleased with our financial strength and our positioning within the Canadian construction industry, which will allow us to capitalize on anticipated strong economic growth, coupled with the backdrop of higher commodity prices. With that, I'll turn it back to Teri.
Teri McKibbon: Thanks, Wayne. Turning to Slide 13. I continue to believe that Bird has built a strong platform for future growth and strong profitability. We have a stronger team, more resilient business model than in the past, and as such we have and will continue to position Bird to play a major role in the Canadian construction industry. Consequently, we are ideally situated to capitalize on the significant growth opportunities ahead of us as market conditions recover coupled with strong infrastructure stimulus spending and a favorable commodity price environment.  Lastly, before turning the call over to the operator for questions, I would like to remind everyone that we will be holding our virtual Investor Day on Thursday, September 9, which you will be able to stream live on our website. At the end of the day, we hope you'll come away with a better understanding of our business, our strategy, and our vision, as it will be sharing elements of our new three-year strategic plan that will allow Bird to capitalize on the opportunity set in front of us over the near, medium and long term. With that, I'd like to turn it back to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Chris Murray with ATB Capital Markets. Please go ahead.
Chris Murray: Yes, thanks folks. Good morning. Maybe looking at results in the margin profile, you kind of alluded to the fact that margins, even at this point aren't where you think that they could eventually get to. And I guess a couple of pieces of this question. I mean, first, trying to understand what's left to do with the Stuart Olson backlog or projects, or even just further synergies there. And what kind of timeframe are we looking at? And then, the second part of that is where ultimately do you think you can drive these margins on a combined basis?
Teri McKibbon: So maybe we just start with Stuart Olson framework, Chris, we're obviously well along with our integration in certain geographical markets. We have some overlap, so we're continuing to refine the team and align the team with the new suite of services we have. And obviously not as easy to do this in a COVID environment than it would be absent COVID environment. But in that regard, we've made really good progress. And most of that is in are Alberta and BC businesses where there's more overlap in the various entities and obviously getting in front of clients and communicating the framework of the new business, much cleaner, easier framework with our MRO business, because it really the overlap was a lot smaller and obviously our commercial systems businesses is an independent group. So no real changes there.  In that regard, what's left to do, we're working on a combined technology platform for both companies. Both companies were, I would say, due for some investment and to develop a new platform, and quite honestly the construction industry is kind of going through what I would call a technology transformation. There's just some really exciting things that are happening with AI, digital twins and things like that. And we're, we're catching up really quickly and very focused in those areas. So that's going to be certainly a journey, which would have been likely a bit of a journey for both businesses regardless, but we have some pretty significant synergies from that that we're excited about and make the business more efficient. On the – remaining sort of areas in that would be post-COVID obviously driving higher engagement and driving a more common culture, but some of that is an in-person sort of framework. And then I would say on the margin side, year-to-date margins are higher, they've got some inclusion of CEWS in there. So they're higher in that regard. The cross selling side of the business margins are very positive. So we're really seeing really good traction there. And that's a bit of a transformation on the Bird side as well, because we're really driving a one Bird framework. So that's somewhat new in the Bird side. So yes, timing has been good. In that regard, so we're continuing to move the business forward. The markets are opening up to us with the type of company that we've built. Obviously with the use of IPD and the use of alliance and collaborative contract, we're seeing that really accelerate across a number of our major clients. So that's very positive. So continuing to focus on accretive growth, very disciplined approach to new projects and yes, we're feeling pretty exciting about what's ahead and very excited about the Stuart Olson acquisition to date.
Chris Murray: Okay. That's helpful. Just turning to kind of cash and expectations for cash flow. And also I want to maybe touch on dividends a little bit. So when you end up the quarter, I think as you mentioned with a lower level of cash as you're working through basically working capital builds, I guess, in advance of higher activity levels. Should we be thinking though that full year that should kind of reverse back out with billings and at the end of the year? And then just thinking about cash on hand and stuff like that, how much cash do you guys need to deal with I think that about that? And then the other piece of this question, did note that you guys just confirmed your dividend for the next few months. At what point did we start looking at what these kind of financial – this kind of financial performance, thinking about when the dividend starts moving higher?
Wayne Gingrich: Maybe I can start the – answer to that with just the discussion on cash. So at the end of Q2, at $2.8 million of accessible cash, and our non-cash working capital on a year-to-date basis grew I think about $115 million or $49 million in the quarter. And I think what you're seeing happening this year in the first half is that our – as our work program is growing, certainly, yes, that's having an impact on our cashes as we put that non-cash working capital. I think what you're going to see in Q3 is that our work program is going to continue to build, and that's going to require cash to fund the working capital. And then historically, Bird has generated most of its cash flow for the year in the fourth quarter. Again, I think, you're going to see that again, where we generate positive cash flows in Q4. But I think just based on the timing of how some of our self-performed projects are working in some of the turnarounds we have. We may see an investment in September and October maybe early November on turnaround activity, which that typically wouldn't unwind in December that might actually unwind into January.  So the seasonality is changing a little bit, but I think suffice to say, Q4 is still going to be our best cash flow quarter of the year. But we may see some of that turnaround work unwind in January, early February.
Teri McKibbon: And to the dividend…
Wayne Gingrich: Yes. And then on the dividend. So we need to and discuss the dividend with our Board every quarter. It's certainly something that we're cognizant of. The dividend is has remained a very important part of our total shareholder return strategy. But I think until the pandemic subsides, I don't think you're going to see any movement in the dividend until we can kind of see the pandemic is behind us. And then we'll evaluate things at that point in time.
Chris Murray: Okay. Fair enough. All right, folks. Thanks. So I'll pass the line.
Teri McKibbon: Okay. Thank you.
Operator: The next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Hi, good morning guys.
Teri McKibbon: Hi, Fred.
Frederic Bastien: You had a – I think you had a positive contribution from stack in the quarter, can you please speak to that a bit?
Teri McKibbon: Yes, so with the work program we have with stack right now, we're working on two prison projects for infrastructure Ontario. Those are currently under construction and performing very well for us. Certainly that did help us in our equity earnings. As we do have a 50% ownership stake in that business and consolidate the proportionate earnings using the equity method. We're continuing to see that evolve Frederic in terms of, I think of that businesses, a bit of a startup similar to a startup in North America. So it's somewhat disruptive, but we're seeing some good traction in and continue each quarter and each year to see more activity and more engagement. We're seeing more of a pickup with the engineering community, and lots of dialogue now with the major engineering firms around modular. We're pretty excited about it. We're very excited about the quality and our speed and our refining every project. We refine our construction techniques and our delivery. And we had good success with a portion of CVL at LNG Canada. So we had good success there and each project is, continues to evolve, but feeling better each year, it seems to get more of an uptake, not dissimilar to a startup where you're creating a business that's disruptive to the normal way construction is done.
Frederic Bastien: Okay. Thanks. Thanks for that color. Teri, you had some interesting comments on AI and the future of construction. But there's also – we're seeing also a big push globally to make infrastructure more resilient to natural events caused by climate change and et cetera. Are you seeing similar emphasis in Canada and does that provide any opportunities for a company like Bird?
Teri McKibbon: Well, certainly it does. I would say that a lots of dialogue about that at this point, Frederic, I wouldn't say that we're seeing projects that are entering into our framework of pursuits that you'd notice a difference on. I would say that much – there's – from an ESG perspective, we're seeing a ton of activity and things like mass timber. Obviously, our modular business we're seeing a big focus on carbon footprint reduction of buildings across Canada, existing buildings, new buildings, yes, some pretty cool things going on there. But I wouldn't say that we're at a point where we're seeing resiliency building, coming into the infrastructure in terms of the engineering design. It's not in our world yet, but, interesting thought in our – but yes, we're well-positioned. We do some of the more complex types of projects in Canada for complex clients like large LNG facilities, large oil facilities, large industry – large industrial facilities. So we're building things that are built for to withstand all kinds of unique weather events and things like that. So we're well positioned with a resume to support that, but I would say early days for us.
Frederic Bastien: Okay. Thank you very much.
Operator: Our next question is from Michael Tupholme with TD Securities. Please go ahead. 
Michael Tupholme: Thank you. Good morning.
Teri McKibbon: Good morning, Mike.
Michael Tupholme: Obviously a strong year-over-year increase in revenues in the second quarter. I'm wondering if you can break that down in terms of how much of the growth was driven by the acquisition of Stuart Olson versus organic gains?
Wayne Gingrich: Yes, I mean, I'd say Mike, at this point, we're not disclosing how much revenue was with Stuart Olson or Bird. But what I would say, and this is kind of an interesting comparison year-over-year, last year in Q2, Bird results contracted when compared to first quarter. And I don't think that's ever happened, but that was really driven by the impact of the pandemic. And then certainly that on wound, some of the non-cash working capital and we generated positive cash last year. This year is a very different story where we had good growth Q2 compared to Q1. And then the impact on cash was obviously headed in the other direction as well as we invest in working capital.
Michael Tupholme: Okay. On that point, actually, I was going to ask you specifically, I think you touched on working capital already, but just to be clear. Yes. So as you mentioned, you have invested through the first half of the year, and as you noted seasonally, there's typically an unwinding of that later in the year, but how should we think about the second half specifically Q3 versus Q4 in terms of changes on non cash working capital, and where does that, where do you think you wind up for the year on a full year basis in terms of I guess in terms of that line item?
Wayne Gingrich: Yes. So I think in third quarter, I think you may see some modest growth in non-cash working capital. This is our – as our work program continues to ramp up through the busy summer months here. I think you'll see it on wind in Q4. I don't think you're going to see it on wind by the full $115 million that that we've invested year-to-date it. But I would expect you'd probably see a decrease of $50 million or $60 million certainly in Q4.
Michael Tupholme: Okay. No. That's helpful. Thank you. Wanted to get a bit of an update on the LNG Canada project and the work you're doing there, and also ask you about any progress or any opportunities to secure further work on that project?
Teri McKibbon: So certainly it's been an exciting project for us, I was just there two weeks ago and spent a couple of days with our team looked at all the activity that we've got underway there. [indiscernible] now is nearing completion. It's been a very successful project for us. So we've got a number of assignments on-sites and large, we're doing the foundation, a lot of the foundations for the LNG trains we're doing a whole series of administration buildings and non-processed buildings. We've got these large concrete water storage facilities. We're building right now that are – the size of football fields. So we got a lot of cool stuff happening. We're getting into new opportunities there as well. So yes, it's certainly for Canada, one of the few mega projects that exists and we're excited – quite excited about the amount of activity we have on that project.
Michael Tupholme: Okay, perfect. And then, I guess just sort of sticking with the resource sector, you didn't note in your MD&A that you talked about your Alberta presence and how you see stronger commodity prices that we've been seeing of late, how that's a potential positive in terms of new awards. Can you provide a little bit more detail? But the conversations you're having with clients that operate in the commodity or the resource sector. What sorts of opportunities you're seeing or hearing about and what kind of visibility you have in terms of potential acceleration in awards in that area?
Teri McKibbon: Well, certainly I think strong commodity prices in the natural resource sector sort of a rising – rises all boats, the governments, feel more confident to invest in infrastructure, which bodes well in Alberta landscape right now, they've got a number of initiatives underway that in procurement, a whole series of schools and different configuration, some MP3 delivery, things like that are out there. You've got so, starting with the government side, there's just a lot of folks. I think the premier is very focused on refining – redefining the framework of how Alberta, the opportunities that exist in Alberta, in a very major focus on ag, in that sense. So those are opportunities for us that are – we're seeing evolve in that regard. So it's somewhat that the non-energy side, it’s got a whole lot of activity because of stronger resource pricing. And then move into the energy side. I think, there's with stronger commodity prices, there's more demand for our maintenance services. There's more demand for [indiscernible] sort of components on an existing site to make that site more efficient or to reduce its carbon footprint. And then in some cases you've got clients that just want to continue to invest in energy that reduces their carbon footprint in that regard. And then you get all your clients that want to reduce the carbon footprint of their headquarters and things like that. So yes, we're feeling pretty excited about the – just the dynamic of what's happening and part of it, obviously it's a post recovery type framework that's evolving. And so in that regard, we're seeing a lot of different new opportunities and I think that's really the key for us, We're feeling good about the way we're diversifying our business, not just geographically, but across a lot of different clients. And, and that'll obviously build resilience into the performance of Bird over the next five years. So we're seeing some good signs and feeling pretty good about what's ahead.
Michael Tupholme: Thanks for that, Teri. And then just lastly, a couple of questions pertaining to the nuclear sector or nuclear opportunities. So first off, can you confirm that the advanced nuclear materials research center project is still in pending backlog and provide an update on the status of that project? And then secondly, are you able to just comment a little bit more generally on other opportunities in the nuclear sector and if that is an area that you think could contribute to growth going forward for Bird.
Teri McKibbon: So we're I can confirm that that facility is still in our appending backlog and it's a project that as you can, well, imagine when you're building a weapons grade uranium laboratory goes through a lot of different gates and steps and gets refined and that's the beauty of IPD. And I think you're going to see IPD use quite extensively. And we're seeing it even with major energy clients where they're starting to use. In fact, some of the awards that we've announced were founded on the basis of a collaborative contracting model in IPD or Alliance or collaborative contract. So that model is going to be right in the forefront, I think with government clients and in major industrial type clients. It'll be the go-to I think in the future, because it's just a very successful model. You spend a tremendous amount of time on the front end to really lock down the design and finalize the design and finalize the permits and get all those approvals before you even put a foot on the ground starting in construction. So in the case of obviously our, our facility at Chalk River we are – its a great example where very focused on all of that front end. And if you can get that get that right, you have a much higher propensity to have a successful project. So I think government clients are realizing that and seeing that. And we've got a number of opportunities and we've become a company in Canada. That's got a very strong resume in this area. So we're getting invited into things that quite honestly, aren't really in our window of focus only because we have that resume. So it's quite exciting in that sense, so.
Michael Tupholme: Okay. That's helpful. And then, I guess just maybe as a follow on to that. With respect to the Chalk River project, when do you think you would begin to see that move forward in terms of on the construction side and having it begin to contribute to your results?
Teri McKibbon: Yes. So, it will be built in phases and we will be into the ground on that project. At this point, it looks like Q4. So, late Q3, early Q4 it'll evolve, but that's kind of how it's materializing at this point. So, we'll be talking more about that as it evolves. But there'll be phases that the drive that evolution. And as you can, well, imagine these things have a lot of complexity to them. But it's become a very large project and it's certainly nice to be in that space on that type of dynamic. And then following on with your question on broader nuclear we're seeing, new opportunities arise, we're getting invited to participate in some of the small modular, nuclear reactor type opportunities with different large global EPCs that are in that, obviously being the type of company we are and being with a good resume on nuclear sites we're well thought of in that sense. So, it seems like there's a lot of activity there. We have a team that's focused in those areas in that sense. And then there's also all the auxiliary support that goes into any nuclear site, whether it's a new head office for a nuclear entity or whether it's training centers or facilities, that kind of stuff, which is certainly a core to our business and especially on our industrial business. So, we're seeing those opportunities evolve in the landscape as well.
Michael Tupholme: Okay, I will leave it there. Thank you.
Operator: Our next question is from Naji Baydoun with IA Capital Markets. Please go ahead.
Naji Baydoun: Hi, good morning. I just wanted to start off with the mixed buildings project – mixed-use building project in Toronto. In the press release, I think, you noted using some green practices on site. Can you talk about what are some of the sustainable solutions that you're bringing to that project? And maybe how much of a role that played in securing the contract versus just pricing? 
Teri McKibbon: Well, so the first one we announced was, it was Concert and in that sense it's a longstanding relationship we have with Concert. So, we’re in obviously the design evolution phase of the project right now, and working through that and there is a number of – Concert is a very progressive client we are very lucky to have that type of client in our mix and we continue to work with them and we have that relationship for a number of years. They also partner with us on some of the P3 pursuits that we've historically had and as a developer. So, in each project there's always – there's sort of the smart building technology, that's an option, there's different types of energy systems that create obviously a lower footprint. This first one is a gold lead standard. So, there's certain attributes that drive the ability to reach that certification, I guess, you'd say, or that standard. And in that regard, there's things like waste management, how that's handled. So, there's a number of different areas that drive you towards a gold lead standard.
Naji Baydoun: And in terms of maybe securing similar opportunities in the market, how much do you think your sustainable building practices or solutions are going to play a role in being able to secure new awards?
Teri McKibbon: Well, certainly it’s something that we have a lot of interesting service entities within the combined entity now. And part of the Stuart Olson acquisition, we acquired an engineering group that focuses on it's referred to as our Center for Building Performance. So that group works exclusively on innovative ideas to make buildings more efficient. When you start to think about digital twin technology to be able to replicate the framework of how a building performs and how a longer-term maintenance of that building and how to manage that building's performance is obviously front and center in. So, we're integrating into how we approach all our projects and we're creating that service offering for all clients with our Center for Building Performance. But it goes beyond that, in terms of the types of things that we're able to build into that offering across the different types of projects that we build for clients.
Naji Baydoun: Okay. Thanks for that. Maybe just moving on to Stuart Olson it sounds like there's more to come on the revenue synergy side, I guess, as you're bringing to work, the two teams and companies together, have you been able to identify any other sort of cost savings that could be put in place over the near term? 
Teri McKibbon: Well, there's still more to do on the technology side as we get on a common platform, because we're running two standalone technology platforms right now. And we're slowly moving those to a common platform, but that'll take a bit of time. At the same time, we're updating both our companies to what I would call sort of state-of-the-art global solutions that that are really exciting, that will not just be cost savings, but also will be – improve efficiency and improve performance on our projects. So, that sense is – and I think the acceleration of the focus of Silicon Valley on the construction industry is really quite something right now. So, the types of solutions that we're starting to see are really are exciting. So, we couldn't be – timing is just optimal for us to be thinking about all this while we're putting a new platform together, because we can really ramp up our businesses in terms of the types of technology that we use.
Naji Baydoun: Yes. Sounds like there's more to come, but that's going to be sort of gradual over time.
Teri McKibbon: You are right, yes.
Naji Baydoun: I guess what I'm trying to get there is do you think the low-hanging fruit has been picked on the margin side for now and it's going to be, or the focus is going to shift more really towards top line growth at the moment?
Teri McKibbon: Yes, I would say, but more from a cost perspective that we've certainly – we've taken care of the, sort of the early low-hanging fruit quite comfortably, but on the margin side, longer term, as we move the business sort of a blend of Bird’s core focus and Stuart Olson’s core focus into a broader array of services, broader array of contracts and I can't emphasize how important it is that the commercial landscape of our contracts is evolving into a collaborative framework, because within that collaborative framework, you have a wider array of opportunities to self-perform. So that drives certainly higher margin. But the sophistication of our new offering with the combined companies and some of the things we bring to the businesses is also increasing the interest and the scale of the interest is high. So in that regard, just generally some exciting opportunities that are evolving, whether, if it's for a client like Infrastructure Ontario, with some of the modular work we're doing now and new modular work continue to evolve in healthcare, in social infrastructure and things like retention centers and things like that. And the combination of things that we bring to the table is quite exciting.
Naji Baydoun: That's great. And I know you're still working through details, but any sneak peek that you can give us into the Investor Day, what's really going to be the focus or how are you thinking about the new strategic plan?
Teri McKibbon: Yes, so we just finished yesterday and we were Monday and Tuesday with our Board finalizing things. Our board has been aligned with us since back in December in terms of this development. So heavy involvement with our Board on a monthly basis and great feedback we had, and we've sort of reached that milestone of getting there. So now our focus is just obviously consolidating the feedback, consolidating the presentation. And so September 9 will be an opportunity for us to talk about what our future looks like and the kinds of things we're focused on. But the framework of that centers around having – we’re really, really pleased with the leadership team we've assembled. And if you can start with a really strong leadership team, you can have, I think, very dynamic performance focused on collaboration, focused on having world-class safety, highly engaged workforce, our performance very focused on accretive margin improvements across a platform that’s nimble. I think the technology is going to help us even become more nimble, very disciplined, focused around risk management. And I’d just lastly say, you'll hear us talk about some of the things we're doing in terms of diversification. In order to have resiliency in our earnings performance, we've got to have not just sector diversification across the different types of sectors we work in, but also geographic diversification. And so, you will hear us focus on some of those areas. But I think you'll be pleased when you see the framework of what we're up to.
Naji Baydoun: Yes, that's good. Looking forward to it. Thanks Teri. 
Teri McKibbon: Thank you.
Operator: [Operator Instructions] Our next question is from Maxim Sytchev with National Bank Financial. Please go ahead.
Maxim Sytchev: Hi good morning gentlemen.
Teri McKibbon: Hi Max.
Wayne Gingrich: Good morning Max.
Maxim Sytchev: I was wondering in your outlook, obviously you talk about revenue normalizing in the back half, but I was wondering if you don't mind venturing, some the quantum of increase or how should we think about it as – how do you define normalization, I guess, in the back half?
Teri McKibbon: Well, I think, we're certainly seeing, as we noted in our comments, we are seeing a bit more normalcy entering into our business. And I think you'll see certainly consistent revenue performance based on what we know today, in terms of the pandemic in that regard. So, from a performance perspective, the opportunities are coming into our mix are certainly at a higher pace than previous quarters. So, in that sense it's a question of how fast we can contract. Q3 has typically been our busiest quarter, so expect to see a fairly busy quarter continuing. And again, as things continue to hopefully open up, you'll see that momentum from that perspective.
Maxim Sytchev: Right. And I guess in terms of the margin profile again, on the back half, we should obviously expect a compression versus last year because we're comping with SUEZ [ph], right. Is that how you guys are thinking about this as well?
Teri McKibbon: Yes, I think that's the right. Way to look at it Maxi I mean, with SUEZ [ph], while it helps offset costs that we've incurred, as a result of the pandemic. When you think of it from an accounting perspective, it's kind of a credit against your costs, but there's no associated revenue with that. So now with our work program, kind of returning back to normal, we're going to be earning those revenues on the project and earning the gross profits. But it has a different overall margin impact and now that the revenues associated with it, right.
Maxim Sytchev: Yes, for sure. No, that makes sense. Just one double check, thank you for that. And then Teri correct me if I'm wrong, if I saw it on the press release, but it seems to me that you've got some incremental work for on a bridge. And just curious in terms of your thoughts around horizontal infrastructure whether that's becoming sort of a bigger focus in terms of you addressing this market, or is a more of a one-off? So, how should we think about this longer term?
Teri McKibbon: Yes, I think that we have historically not as been as focused on horizontal infrastructure, there is some specialized capabilities needed. So, we're focused where our core demands have been. But obviously the skill set we have is easily able to translate the types of things we do and have historically done such as bridges, build bridges in Alberta, and we built bridges and in Manitoba. So, obviously that self-perform capability is significant. You don't see it in the open very often because we're typically on large industrial sites and energy sites that are usually in remote locations. So, it's not something you see from the outside world, as much as you would, if you are on a public project in Canada, we certainly have that capability. And in that regard, what we haven't liked this much about the horizontal infrastructure market has been the contracts. We haven't really felt that that risk transfer was appropriate. And so, in that sense, but we see that changing now and with that changing, it becomes more interesting for us. And we've been, I referenced earlier, that we've been invited into a few projects that had certainly a pure horizontal nature because of that resume that we have on IPD and alliance type framework, because it's obviously core to have the ability to qualify. So yes, so we'll see how things evolve as that trend continues it'll be an area we're very focused in.
Maxim Sytchev: Yes, for sure.
Teri McKibbon: [Indiscernible]
Maxim Sytchev: Yes absolutely. And that's my question, so, right. I’m and sorry, is that from legacy Bird or legacy Stuart Olson, or is it really kind of the combination of the two right now that enables you to better address this market.
Teri McKibbon: Yes, it'd be legacy Bird, to a large extent. But the framework of the Alliance and IPD type projects is across the entire organization. We've got projects right now being led by Stuart Olson with significant insights and scale that are alliance in the social infrastructure side of our business. But the Bird side is where you have that significant scale of self-perform, earth moving, concrete work, that kind of thing. And as you know, we have a mining business in Northern Quebec and Western Labrador, which again is large earth moving equipment associated with that. So, again, we have the pieces and as time evolves, I think, you'll see us present in that area.
Maxim Sytchev: Right. Does it make sense to – you talked about tuck-in acquisitions in the past to sort of geographically, where the markets are conducive for that to scale up your capability, or how do you think about that?
Teri McKibbon: In the M&A side, we're always open to consider that. I'd say that there's always things that we're looking at considering, and we work with our Board to determine what makes sense for the growth of the company. It's a constant ebb and flow, and we have a very defined framework where we're not as interested in participating in public auctions for companies. We are looking for companies where they are really strong management team, high performing business that fits within our culture. But then again, sometimes something will come along that's a little more transformative for a whole bunch of different reasons that makes sense for us to think about. But yes, it's a constant ebb and flow on a quarterly basis with our Board of Directors.
Maxim Sytchev: Yes, for sure makes sense. And my last question pertains to I mean, obviously it's legacy part of Stuart Olson, but because typically that business kind of lags correct me if I'm wrong, like nine to twelve months, kind of the rebound in activity levels. Is that kind of what you guys are expecting for this division to take place or are we already seeing an inflection point in that division as well?
Teri McKibbon: Yes, I think you're probably right in the sense of that timing, haven't really thought about it that way, but you're right. Typically, their scope is towards the mid to back end of a project and the markets they've been in obviously with a fairly large focus in Alberta, there has been pressure in that market. So, we're seeing good signs. But yes, you're right the back end of – they are more back ended in terms of that recovery, but we're pleased with the business. We liked the idea of it's a service offering where we provide security type framework for clients across the country. Now we've got services, sort of a special project group that works across the country where different clients provide a specialized services for thousands of small contracts. And then we have the larger scope and the normal build work, and then some of the larger projects. And we worked for a number of different large companies in Canada. We obviously run that business at arms-length. So, it’s a standalone entity, but we're pleased to have it in the mix. And it's evolving along the lines of the Alberta economy.
Maxim Sytchev: Right. That's super helpful. And last question in terms of LNG Canada, I remember speaking in the past with some of the mechanical opportunity coming up later as the project sort of cycles through, is this still for you kind of a 2022 event, or is it potentially a 2023, just kind of thinking about the timing of the bidding opportunity here.
Teri McKibbon: Yes, it's a mix thing. So, mechanical, electrical opportunities are out there, they'll continue to evolve; maintenance, a significant amount of maintenance occurs on those types of projects as you well know. So we're not really thinking obviously some of the construction side you're right is 22, 23, 24. And obviously there's lots of different things that we performing really well there. We've got a great safety record. We've got a high engagement with clients. So all kinds of things just kind of ebb and flow on a monthly basis on that site. So, continuing to see that evolve, we don't really see you know, right now at least there's a, there's a nice lineage of opportunities there. So that's obviously been a high performing site for us and because of that, we're getting a number of new opportunities that continue.
Maxim Sytchev: Okay. That's super helpful. That’s it for me. Thank you very much.
Teri McKibbon: Thanks Max.
Wayne Gingrich: Thanks Max.
Operator: This concludes the question-and-answer session. I'll now turn the call back over to Mr. McKibbon for closing remarks.
Teri McKibbon: Thank you everyone for taking the time to join our second quarter earnings conference call. We have a very bright future ahead of us as a premier construction and infrastructure company with the potential to create long-term value for all stakeholders. Have a good day and stay safe. And we look forward to updating you at our Virtual Investor Day on September the 9.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.